Operator: Good morning and welcome to the Sabre's Fourth Quarter and Full Year 2023 Earnings Conference Call. My name is Olivia and I'll be your operator. As a reminder, please note today's call is being recorded. I will now turn the call over to the Senior Vice President of Investor Relations and Treasurer, Brian Evans. Please go ahead, sir.
Brian Evans: Thank you and good morning everyone. Welcome to Sabre's fourth quarter and full year 2023 earnings call. This morning, we issued an earnings press release, which is available on our website at investors.sabre.com. A slide presentation, which accompanies today's prepared remarks is also available during this call on the Sabre Investor Relations webpage. A replay of today's call will be available on our website later this morning. We advise you that our comments contain forward-looking statements that represent our beliefs or expectations about future events, including the effects of cost efficiencies and growth strategies, distribution volumes, benefits from our technology transformation, commercial and strategic arrangements, our financial guidance and targets, expected revenue, adjusted EBITDA, free cash flow, interest, capital expenditures, margins, and liquidity among others. All forward-looking statements involve risks and uncertainties that may cause actual results to differ materially from the statements made on today's conference call. More information on these risks and uncertainties is contained in our earnings release issued this morning and our SEC filings, including our Form 10-K for the year ended December 31st, 2023. Throughout today's call, we will also be presenting certain non-GAAP financial measures. References during today's call to adjusted EBITDA, adjusted EBITDA margin, adjusted EPS and free cash flow have been adjusted to exclude certain items. The most directly comparable GAAP measures and reconciliations for non-GAAP measures are available in the earnings release and on other documents posted on our website at investors.sabre.com. Participating with me are Kurt Ekert, President and CEO; Mike Randolfi, Chief Financial Officer; Scott Wilson, Executive Vice President and President of Hospitality Solutions, will be available for Q&A after the prepared remarks. With that, I'll turn the call over to Kurt. Kurt?
Kurt Ekert: Thanks Brian. Good morning everyone and thank you for joining us today. I'm pleased this morning to discuss the many accomplishments of the Sabre team. Earlier today, we reported our fourth quarter and full year 2023 results that included strong revenue growth, significant margin expansion, and substantial increases in both adjusted EBITDA and operating cash flow, which allowed us to achieve our free cash flow objective for the year. In addition to reviewing our financial performance, I will also spend time highlighting the recent achievements in our technology transformation, our many commercial wins, and our product innovations that help position our portfolio for the future of travel, while helping to deliver sustainable growth. Now, let me walk through the agenda for today's call. On Slide 4, you can see an overview of the topics that Mike and I will cover. First, I will review our business highlights and accomplishments from 2023. Next, I'll provide a brief overview of how the industry landscape is evolving. Finally, before handing it over to Mike, I'll close with a review of our growth strategies and how we believe they position Sabre for success. Mike will then take you through the financial results for the fourth quarter and full year 2023 and provide an update to our 2024 guidance and 2025 targets. Now, let's turn to Slide 5. 2023 was a year of strong execution at Sabre. Our team members around the world delivered the commercial, operational, and product development success that drove the strong financial results depicted on this slide. We generated 15% topline growth in 2023, improved our efficiency and effectively contained costs. These achievements combined to drive significant margin expansion and growth in adjusted EBITDA with a $272 million year-on-year improvement. Importantly, our team achieved positive free cash flow, excluding restructuring for full year 2023, which was one of our primary financial priorities. These strong financial results supported our innovation and product development initiatives that are essential to achieving Sabre's long-term strategic priorities. Turning to Slide 6. As a reminder, we have four key strategic priorities that drive our long-term direction and form the foundation of our resource allocation and decision making. As I refer to each priority, I will briefly touch on some of the 2023 accomplishments listed on this slide. First, generating positive free cash flow and delevering the balance sheet remains important financial objectives. As mentioned, the significant improvement in our adjusted EBITDA in 2023, in addition to our working capital initiatives, helped deliver positive free cash flow for the year, after excluding restructuring. On our second priority, achieving sustainable long-term growth, I am pleased to announce that we continue to grow our share of GDS industry bookings which I will touch on in a moment. We are encouraged by the momentum we are seeing with our carrier and [indiscernible] customers and believe we will achieve further GDS market share growth ahead. Turning to Hospitality Solutions. Our team delivered strong financial results in 2023 that exceeded our initial forecast for growth and profitability. We expect this momentum to continue in 2024, including from our Hyatt enterprise implementation and a number of additional business wins. On our third strategic priority, which is to drive innovation and enhance our value proposition, we've reached an important next step in our strategic partnership with Google. As I mentioned last quarter, Sabre engineering teams are now developing products and solutions that harness Google's cutting-edge AI capabilities, which translated into several successful product launches earlier 2023. For example, Upgrade IQ, which optimizes airlines premium cabin inventory. We believe this important partnership is essential to providing our customers with intelligent retailing solutions and modern distribution technology. As another area of excellence in execution by our team, our technology transformation to the cloud continues on schedule and we expect to achieve our stated goals by the end of 2024. In addition to the cost and operating efficiency gains we are already seeing, our migration to the cloud provides a more powerful launch pad on which to create, develop, and distribute future product innovation needs. Before I move on, I want to take a moment to say thank you to our team members around the world for delivering these results, for consistently providing superior service to our customers, and for providing the exciting new technology that makes me so proud to be a member of the Sabre team. It is this collective commitment to continuous innovation and service to our customers that personifies our culture. Turning to Slide 7. As you can see, Travel Solutions delivered impressive financial results in 2023 across many key metrics. Strong GDS bookings growth and continued improvement in the average fee from a richer booking mix helped drive a year-on-year double-digit increase in Travel Solutions revenue and gross income. Sabre achieved steady GDS industry share growth through 2023 and as well as 16% overall volume growth in GDS bookings and 27% growth in Distribution lodging, ground and sea bookings highlighting our growth opportunity in hotel distribution. In IT Solutions, our passengers boarded increased by 8% versus 2022. Turning to Slide 8. As we highlighted throughout the past year, Sabre is growing its share of GDS industry bookings. As you can see, our share in Q4 2023, again expanded on a year-on-year basis for the fourth consecutive quarter. In addition, we achieved GDS industry share of 33.8% for full year 2023, a 1.2 percentage point improvement versus 2022. In the fourth quarter, our share of the GDS industry bookings was up year-on-year, but declined slightly sequentially from the third quarter. This is due largely to the temporary slowdown in corporate travel and natural seasonal decline in corporate bookings during the quarter, as corporate travel comprises a larger proportion of our client footprint and bookings relative to the GDS industry. Importantly, as Michael explained, we have seen a rebound in corporate bookings and resulted strong GDS market share performance trends as we start 2024. We are pleased with these results and believe our compelling distribution offering as well as signed, but not yet implemented business and our robust pipeline of distribution deals position us well for continued GDS industry market share expansion. Turning to Slide 9. Our Hospitality Solutions team delivered excellent results in 2023. Total revenue was up 19% versus 2022 on a significant jump in both CRS transactions and rate per transaction. Adjusted EBITDA reported for the year was well above our initial expectation of breakeven results and represented more than a $40 million improvement versus 2022. Additionally, the SaaS operating model inherent in our Hospitality Solutions business generates high recurring revenue, consistent double-digit revenue growth, 79% recurring revenue, and a strong margin expansion trend provide markers in the value trajectory of this business. Please turn to Slide 10. Our technology transformation remains on course to achieve our cost savings targets and technology goals by year end 2024. As you can see, the efficiency with which Sabre conducts its business today is substantially improved. In the fourth quarter, our unit cost of compute declined by nearly 20% from the year ago period and was down approximately 50% versus 2019. In addition, our focus on investing in offer and order capabilities is a pivotal aspect of our future product portfolio. We are actively developing our offer and order platform within the Google Cloud environment and we recently completed a successful pilot program with a major airline partner. This successful program validated our ability to efficiently integrate shopping and ordering functionalities within the platform. Overall, we believe our technology transformation and commitment to innovation will continue to help us deliver modern technology solutions and execute on our strategic priorities. Please turn to Slide 11. In addition to the significant customer announcements we highlighted earlier in 2023, I am pleased to review a number of more recent business wins, but highlight Sabre is consistently being selected as a partner of choice by leading global travel suppliers seeking modern distribution and retailing technology. We continue to see momentum in Hospitality Solutions. Our implementation work with Hyatt to provide them with our SynXis central reservation system technology continues, and we are on track for initial go live in the first half of 2024. We also recently announced a new agreement with Frasers Hospitality, a luxury management company in Asia-Pacific, which selected our retail studio software to provide its guests with greater personalization. Earlier this week, we announced a key partnership with Riyadh Air, the new national airline of the Kingdom of Saudi Arabia to utilize our network planning and optimization solutions, where the airline will be using our advanced data analytics and intelligent decision-making capabilities to improve data efficiency and help optimize flight times for incremental revenue gains. In distribution, we continue to expand our relationship with Air India. And as of January 1st, 2024, travel agencies in India now have access to that carrier's expansive domestic content through Sabre. We were also pleased to sign a new multiyear agreement with International Airlines Group or IAG that will allow Sabre connected buyers and agencies to sell Edifact and NDC content. Furthermore, we are accelerating our investment to offer more robust NDC functionality. Our recent agreements for NDC content with Hawaiian, Malaysian Airlines, and La Polish Airlines highlight the customers seeking modern distribution technologies consistently choose Sabre to meet their evolving needs. We also had a number of meaningful agency wins, including one of the leading providers of online travel Priceline. In summary, our team achieved a number of commercial wins during the fourth quarter, and we are confident that our modern technology solutions and pipeline of business will help us execute on our strategic priorities. Now, on to Slide 12. I will take a few moments now to look forward and discuss the latest trends in global air travel, how the travel marketplace is evolving and how we believe we are positioned for success in this environment. This chart depicts the long run upward forecasted trend in air travel demand and the expected resilience of global air passenger growth. As you can see in the chart, industry forecasts suggest healthy growth in passenger traffic will continue and approach nearly 7% per year over the next five years. Looking forward, we see a number of reasons to be optimistic that broader industry volume growth will continue, such as moderating airfares, solid capacity growth, driven by robust international demand, and less acute industry supply constraints. Sabre in the GDS industry experienced significant growth in recent years as global travel recovered. However, overall, air travel rebounded at a faster pace over this period. We believe the GDS industry has recovered at a slower rate for several reasons. First, the GDS industry has historically been comprised of about 50% corporate and 50% leisure, generally over-indexing to longer haul international segments, which is more complex in nature. As discussed in the marketplace, global corporate travel has recovered to about 75% on a unit basis of its pre-COVID levels. Note that with air and hotel yields much higher in 2023 than pre-COVID, the dollar recovery often cited by suppliers is higher than this unit percentage. And as I mentioned earlier, a greater proportion of our business is corporate or TMC business as compared to our competitors. While there may be a structural element to this in the corporate travel today is smaller than it was historically, we believe this is an opportunity for Sabre as we are well-positioned to grow volumes and share as corporate travel grows prospectively. Second, longer haul international capacity has generally returned more slowly than shorter haul and domestic capacity. Given the shorter haul and domestic capacity generally accrues more to airline direct than to the GDS channel, this has slowed GDS industry recovery. This has had the effect of reducing the proportion of overall bookings going through the GDS channel as compared to airline direct. We believe that this is not a long-term issue for the industry. Third, NDC volumes today comprise only about 1% of total volumes for travel management companies and brick-and-mortar agencies. And we believe the NDC volumes of these buyers are flowing almost entirely through Sabre and other GDSs. However, while not a new construct, we have seen over the COVID period, an increase in airline direct connect volumes with online travel agency, some of which may be characterized as NDC. While a generally lower margin business, OTA volumes remain a very meaningful contributor to the GDS industry, and this OTA dynamic is a negative volume impact to GDS. Looking ahead, as OTAs are now seeking our help with automation, shopping, and cashing solutions to deal with their content, retailing, and operational needs, there may be opportunity to recapture volume as well as provide additional services. And last, low-cost carriers have traditionally outgrown full-service carriers and we and other GDSs have been a smaller part of the LCC distribution footprint given their general short haul and leisure focus. Prospectively, we believe this is a largely untapped opportunity for Sabre. In addition, there have been a number of recent positive comments from large airlines and industry experts around corporate and international travel demand growth in 2024, which should be supportive of the industry volume scenarios that Mike will discuss shortly. On to Slide 13. Looking at the future of travel and the evolving marketplace, our growth strategies are designed to deliver modern distribution and retailing technology. Our multisource content platform strategy is designed to efficiently increase agency and buyer access to relevant air content from a wide array of airline products, including Edifact, NDC, and low-cost carrier content through all channels and points of sale and with leading shopping, retailing, and automation capabilities. Agencies and other buyers consistently tell us that we have one of the leading NDC solutions in the world to support their businesses. Next, our distribution expansion strategy consists of targeted resource and product investments to help drive growth in specific geographies and marketplace segments, including countries and segments in which we are under-indexed today. We expect to realize continued strong share growth in the months and years ahead, as existing and new agencies and other buyers see us as their preferred technology partner. In hotel distribution, we believe Sabre can become the premier business-to-business, intermediary lodging platform globally by investing to enhance our current product suite, tapping more deeply into our existing distribution customer base and increasing the attachment of hotel bookings to our GDS market offering. In payments, we are excited about the long-term opportunity and believe our Conferma platform has become a leader in virtual card team. Market penetration of virtual cards for commercial payments remains in the early stages, but adoption is accelerating. Overall, our Payment Solutions experienced 25%-plus growth and spend volume in 2023 versus 2022 as businesses increasingly seek more efficient payment methods. With $14 billion spend volume already flowing through the Payment Gateway, we see Conferma as an important contributor to the future of our business. Sabre's core capabilities in LIT address the changing needs of global carriers that are demanding greater personalization and flexible technologies. We plan to grow our LIT business with intelligent retailing solutions built on a modular platform with offer order technology at the core. These products and solutions are already gaining traction with customers. In our Hospitality Solutions business, we have a strong revenue pipeline of new customer wins in our CRS and our retail studio suites of solutions. This offering brings the power of personalization to our hotelier customers to significantly expand their revenue opportunities beyond the standard booking process, improving the overall guest experience. In summary, we are committed to focused investments in these strategies to deliver winning modern retailing and distribution technologies and deliver sustainable growth. I, again, commend our team members globally for their hard work and I'm confident that we have the right strategies in place to continue delivering on our priorities. I will now hand the call over to Mike to walk you through our financial performance and forward outlook.
Michael Randolfi: Thanks Kurt and good morning everyone. Please turn to Slide 14. I'm pleased to share our 2023 accomplishments that highlight the dedication and hard work of our Sabre team members. As Kurt mentioned previously, we achieved our free cash flow objective for the year on solid revenue growth, effective cost management that led to significant margin expansion, and working capital initiatives that delivered meaningful cash flow benefits. With the actions we have taken, we have developed significant operating leverage in our business that is allowing strong flow-through of topline revenue to the bottom-line. To illustrate this increase in operating leverage, note that in the fourth quarter and in the second half of 2023, we saw adjusted EBITDA grow at a meaningfully greater rate than revenue. For the year, Sabre generated a substantial improvement in both cash from operations and free cash flow. Our distribution business generated a 27% year-over-year increase in revenue on 18% more bookings and solid improvement in our average booking fee. Hospitality Solutions achieved better financial results, faster than we had anticipated on strong growth in CRS transactions and higher average revenue per transaction, driven by strong growth in ancillary sales. This led to an approximate $40 million improvement in adjusted EBITDA in 2023 versus 2022. In addition, we are pleased to have refinanced the vast majority of our 2025 maturity. Please turn to Slide 15. I will now briefly review recent GDS industry booking trends. During the fourth quarter, we experienced softness of GDS bookings late in the year below our expectations. We believe this is largely attributable to the slowdown in corporate travel in Q4, as Kurt mentioned earlier. Despite this, I'm pleased to share that we are seeing significant improvement in GDS volumes and GBS market share performance year-to-date. Now moving to the table. As I highlighted earlier, we reported substantial year-over-year increases in each of our key financial metrics in both the fourth quarter and for the full year 2023, with significant improvements in both revenue generation and adjusted EBITDA. We also achieved positive free cash flow for the year after excluding restructuring, which was once again one of our primary financial objectives for 2023. We Furthermore, the fourth quarter $77 million in free cash flow generation was the highest in four years. Turning to Slide 16. Total Q4 revenue was $687 million, an increase of $56 million or 9% versus last year. Distribution revenue totaled $476 million a $59 million or 14% increase compared to $417 million in Q4 2022. Our distribution bookings totaled $78 million in the quarter, a 3% increase compared to $76 million in Q4 2022. Our average booking fee was $6.09 in the fourth quarter, up 11% from Q4 2022 and as we continue to realize favorable mix into higher-rate regions and types of travel. IT Solutions revenue totaled $146 million in the quarter. This was an $11 million decline versus revenue of $157 million in the prior year, driven by de-migrations and large portion of which is the result of changes in Russian Law in October 2022. Hospitality Solutions' Q4 2023 revenue totaled $75 million, a $10 million or 16% improvement versus revenue of $65 million in Q4 2022. The 16 points of revenue growth was driven by 5 points of central reservation system transactions growth and 11 points of higher rate per transaction. Hospitality Solutions generated $5 million of adjusted EBITDA in the fourth quarter and $13 million in 2023, representing an approximate $40 million improvement in 2023 versus 2022. And as a reminder, we believe that our recently announced CRS agreement with Hyatt will contribute to the momentum we are already seeing in Hospitality Solutions. Sabre's adjusted EBITDA of $96 million in Q4 2023 versus $1 million in Q4 2022 represented a $94 million improvement year-over-year. Before I move on, I want to highlight the significant impact that our cost reduction program continues to have on our financial performance. While our total revenue was up $56 million year-over-year in the fourth quarter, our adjusted EBITDA increased by $94 million over the same period. Free cash flow was $77 million in the fourth quarter, including the impact of restructuring as improving margins and our working capital initiatives delivered strong results. We ended the fourth quarter with a cash balance of $669 million. Turning to Slide 17. Regarding guidance, we expect first quarter 2024 revenue of approximately $750 million and adjusted EBITDA of approximately $115 million. As a reminder, we typically experience higher working capital and cash outflows in the first quarter due to the seasonality of our business. Therefore, it is typically our weakest quarter of the year from a free cash flow perspective. The seasonality is driven primarily by timing of when we receive airline partner receipts in the fourth quarter versus when we make agency payments in the first quarter. Additionally, during the first quarter, we pay our annual incentive compensation payments and we will also begin to lap the benefits of some of our working capital initiatives in 2023 that are not expected to provide additional benefits to 2024 cash flow. For the full year 2024, we expect revenue of approximately $3 billion and adjusted EBITDA of greater than $500 million or an approximate 50% increase compared to 2023 with additional upside to this outcome based on potential GDS market growth. As you can see in this guidance, we continue to expect strong operating leverage from our cost reduction efforts, and we expect flow-through of incremental revenue growth to adjusted EBITDA to remain above 100% and for full year 2024. In addition, in 2024, we also expect cash interest of about $350 million, which includes the impact of payment in kind on a portion of our debt and capital expenditures of $100 million. In 2024, we once again expect to generate positive free cash flow. Notably, we have increased our CapEx assumption moving forward to support the growth strategies that Kurt outlined earlier. Now, on to our 2025 targets. As a quick reminder, our previous targets for adjusted EBITDA and free cash flow included an assumption for GDS industry market growth of 1 to 2 points sequentially per quarter. And as we mentioned in our Q3 earnings call, in November, we have seen GDS industry market growth come in below these levels. Given flatter trends in GDS industry volumes, we are now targeting 2025 adjusted EBITDA to be greater than $700 million and free cash flow of greater than $200 million with upside to these figures based on potential GDS industry market growth. Turning to Slide 18. Now, I will walk you through how we expect our 2023 adjusted EBITDA to build toward our 2025 target of greater than $700 million and the illustrative impact of GDS industry volume growth to our adjusted EBITDA baseline assumption. Due to the early achievement of cost savings, we expect the combined savings from our technology transformation and expense reduction efforts announced last year to drive approximately $250 million in adjusted EBITDA growth by 2025. As you can see on the page, we expect two-thirds of the improvement in adjusted EBITDA from 2023 and 2025 to be driven by lower costs. We expect the growth strategies that Kurt highlighted earlier on today's call will generate approximately $115 million toward our 2025 adjusted EBITDA target. We expect Hospitality Solutions to provide nearly half of the $115 million, an improvement given the strong momentum we have seen in 2023 and the robust pipeline of additional business, including our recent Hyatt agreement. We believe our other growth strategies led by distribution expansion initiatives will provide the remainder of the $115 million improvement by 2025. This adjusted EBITDA benefit from our growth strategies is lower than our prior $150 million target, primarily from earlier achievement in 2023, specifically from Hospitality Solutions and lower GDS market growth during 2023 and assumed prospectively. Moving to GDS industry volumes. The greater than $700 million baseline target assumes only flat to nominal GDS industry growth, which we believe is the low end of potential market growth outcomes. As you can see from the chart, we have illustrated a range of potential outcomes for the GDS industry market up to 4 points of annual growth above our baseline assumption. Note that 4 points of potential annual market growth improvement is not meant as a ceiling. If we see, as illustrated, 4 points of annual GDS market growth over 2024 and 2025, then we would expect to achieve approximately $800 million of adjusted EBITDA in 2025. To provide more color on the potential benefit from stronger GDS market growth, we estimate that each point of additional growth is worth approximately $13 million of adjusted EBITDA per year. Note that GDS market share growth is separate from these volume figures and included in our aforementioned growth strategy projections. As Kurt and I stated earlier, we believe there's reason for optimism, that industry volume growth will exceed our baseline assumption. Looking forward, IATA has projected high single-digit capacity growth over the next several years. Many of the largest global airlines have articulated continued capacity increases skewed toward long-haul international travel and business travel surveys have indicated strong growth in corporate travel spend. Turning to Slide 19. This chart provides the path for how we plan to achieve our 2024 adjusted EBITDA guidance for greater than $500 million. We expect the vast majority of our adjusted EBITDA gains in 2024 to come from greater cost efficiency. Both our technology transformation and cost reduction program announced last May, remain on track to deliver the expense savings that we have previously communicated. It is important to note that our baseline guidance of greater than $500 million in 2024 and baseline target of greater than $700 million in 2025, does not include meaningful benefits from GDS market growth, even though we are optimistic based on positive external commentary and data points that we are referencing. We believe our growth strategies, primarily driven by further gains in Hospitality Solutions, will provide approximately $30 million toward our 2024 adjusted EBITDA target. Please note that the expected gross benefit from our growth strategies is substantially above this level and that the $30 million represents the net amount. The investments we are making this year will drive future growth. With positive GDS industry market growth, we would expect to realize upside to these baseline targets. And as illustrated, we expect that 4 points of annual GDS market growth would drive targeted adjusted EBITDA outcomes of $550 million in 2024 and $800 million in 2025. In closing, we are targeting to more than double adjusted EBITDA between now and 2025 with upside potential based on GDS industry growth. While this would be a strong outcome, we understand that this new target is below what we articulated last year. This is due to external GDS market conditions that evolved during 2023 and the likelihood of slower prospective GDS market growth lower than the 6 points of annual GDS market growth that we assumed when we provided earlier guidance. We delivered strong 2023 results from our team's excellent execution and we remain keenly focused on continuing to run the business to deliver on our strategic priorities, which are to generate free cash flow and delever the balance sheet, deliver sustainable growth, drive innovation, and to reduce our cost structure. We believe the outlook we have outlined today will enable us to accomplish those objectives. And with that, operator, please open the line for questions.
Operator: Certainly. [Operator Instructions] And our first question coming from the line of Josh Baer from Morgan Stanley. Your line is open.
Josh Baer: Great. Thank you for the question. Thinking about what 2025 EBITDA margin could look like if you make some assumption on the EBITDA contribution from growth strategies and gross data, you might get to like $3.5 billion, $3.6 billion in revenue in 2025, with $700 million EBITDA. So, talking about 20% or slightly below margin, high teens, and that's lower than the EBITDA margin from 2019, but 2025 has the cost savings from a successful tech transformation in all the rounds of layoffs and focus on efficiency. So, with just cost of compute down and kind of success on the tech transformation, I guess the question is just why is margin, why could margin be lower in 2025 versus 2019?
Michael Randolfi: Thanks for the question, Josh. This is Mike. First, we haven't given more recent update on margin guidance. But if you go back to what we had previously stated in prior earnings calls, we had talked about the adjusted EBITDA margin being essentially in the range by 2025 of 2019. We actually still would think that is the case. We think we'll still be roughly in that range for 2025 compared to 2019. And you really see a lot of the growth initiatives that we're generating have really strong flow-through to the bottom-line. So, if you look at what we're doing, both in terms of cost. There's really strong flow through in the bottom-line. You could tell by the math we presented. We had a 12% margin on adjusted EBITDA in 2023. We see that expanding to 17% based on the guide that we gave today. And we would also expect continued margin expansion from 2024 to 2025 because the initiatives that we're pursuing actually have really strong flow-through to the bottom-line. So, we still think we'll be roughly in the range in 2025 of where we were in 2019.
Josh Baer: Got it. Thanks Mike. And then maybe just 1 more on sort of the CapEx free cash flow side. Talk a little bit more about where the $100 million in CapEx dollars are going to be going towards over the next few years? Just a little bit surprised with that level of CapEx and that I think it's higher than what we've seen in the last three or four years. But then again, like you're going to be out of your data centers and not spending on server and network equipment some more kind of context on that CapEx spend and how that contributes to the free cash flow targets? Thank you.
Michael Randolfi: Yes. No, thanks for the question. And by definition, our capital expenditure is almost primarily R&D. It's essentially capitalized labor for software development. And we have been very strategic and we're thinking beyond 2024 and 2025. And as we've looked at driving our strategic growth initiatives forward. There were investments that we thought were really important to make over the course of time. And it's really focused on supporting the growth -- the six growth strategies that Kurt outlined earlier, investment in our multisource content platform, investment in distribution expansion, investment in our hotel B2B distribution, further investment in digital payments. On the next-generation airline IT, you see a lot of progress on airline retailing products. There's continued investment in there that we stepped up as well as Hospitality Solutions. So, we really focused on leaning into our six growth strategies. We think that's going to have legs well beyond the period we're talking about here.
Josh Baer: Got it. Thank you.
Operator: Thank you. And our next question coming from the line of Jed Kelly with Oppenheimer. Your line is open.
Jed Kelly: Hey great. I joined the call a little late. Just a couple of questions for me. If we just look at like the overall trajectory of GDS growth kind of where it was versus 2019, can you kind of dig into that more? Is that more of capacity? Or are we starting to see an impact from NDC? And then can you mention how you plan to manage some of your upcoming converts that are due? Thanks.
Kurt Ekert: Jed, thank you for the questions. I'll take the -- this is Kurt. I'll take the first piece and then let Mike deal with the converts. When you look at the overall GDS industry, it's recovered to somewhere in the low 70s on a percentage basis versus 2019. Reminder that our number now excludes Expedia, which migrated off of us during COVID. As I described in my prepared remarks, and Jed, you may not have heard them, I talked about why there has not been full flow-through of industry capacity growth or return to the GDS industry. And I'll go through those very briefly here. Number one is corporate travel is recovered only to about 75% and of its pre-COVID levels on a unit basis. The GDS industry is traditionally a 50-50 corporate and leisure mix. And for Sabre, corporate and TMC comprises a higher proportion of our booking and client portfolio than it does for our competitors. Secondly, if you look traditionally, domestic leisure or short-haul traffic tends to accrue more to airline direct, more complex travel such as long-haul international tends to accrue more to intermediary to the GDS channel. We believe that is still true. If you look at where capacity has been put back during COVID recovery, it has been put back disproportionately on short haul and domestic versus international long haul as compared to the historical proportion of long haul versus short haul. We do not believe that, that is a long-term or permanent trend. So, on each of those, on corporate travel and on short-haul versus long-haul capacity, we're very optimistic about where the industry is headed. Jed, I also spoke about for OTAs, GDSs and Sabre remain the predominant booking channel for OTAs, it remains an important part of our business and we believe we provide the most efficient platform for them to search, book and service their customers. That said, during the COVID period, as I acknowledged in our -- my remarks, there has been an increase in the volumes transacted through the airline Direct Connect channel largely with larger OTAs and larger full-service carriers around the world. Now, that said, if you look at online travel agencies, what we're hearing from them is that where they have done that, they're having challenges with the cost and the complexity of managing those direct connects. They're looking to us for solutions around automation, shopping and cashing and we believe there may be opportunity for volume recapture. So, suffice to say, we understand the reality of the market [Technical Difficulty] today. We're optimistic that the GDS industry and therefore, Sabre, are well-positioned for growth as we go forward. When you look at NDC specifically, NDC for brick-and-mortar and for TMC customers only comprises about 1% of the airline tickets that they're purchasing. That is going effectively all through the GDSs from what we understand and can see. We've invested very significantly not only on connections with carriers, but also on building out that 600 new functionalities or use cases to solve the needs of the brick-and-mortar and TMC customer base around automation, workflow capabilities, et cetera. And so we're very well positioned there. And we don't think that the impact of NDC to-date has been that material in that sector. With OTAs, we think the adoption for NDC is higher. Some of that may be going through their direct connect channel. But again, they're looking to us for help. So, overall, we're optimistic about where the industry is headed.
Michael Randolfi: Yes. And with -- Jed, with regards to your question on our converts, so a couple of things. I would just first remind you, we ended the year in 2023 with $669 million of cash in our balance sheet. We do expect to generate positive free cash flow this year. We expect that to start building meaningfully in 2025. And so we really see our cash position continuing to strengthen over the course of time. Second, I would highlight, you could see over this past year, we've been very proactive in terms of addressing our maturities and aligning that over time with cash flow generation of the company. And what I would say is you should look for us to continue to be proactive and manage our debt maturities in a way that's most efficient as possible. But beyond that, I wouldn't get into specifics in terms of thoughts around any specific instruments or how we would address it.
Jed Kelly: Got it. And just one follow-up. I mean, I think typically, before COVID, 1Q used to be the high watermark for EBITDA. Looking at your guide, I don't know if that's going to be the case this year. So, can you just give us a sense on like just the quarterly trajectory, how we should be thinking about the cadence? Thanks.
Michael Randolfi: Yes. So, thanks for the question. So, a couple of things. And in general, you're right, seasonally, first quarter is the strongest volume quarter. Now, there's a couple of things that are helping as we progress through the year. First of all, our growth strategies; Hospitality Solution, GDS expansion, our growth in our payments business, increased hotel attach on air, we see that all building momentum as the year progresses. And so that offsets some of the seasonal difference. At the same time, if you look at -- in our build on 2024, where we have the cost initiatives, about one-third of the $115 million of cost savings that we expect in 2024, about one-third of that is from tech transformation, and we expect that to be realized through the P&L -- I'm sorry, one-third of the $135 million that we expect this year, about $45 million of tech transformation costs, we expect those benefits to be realized in the P&L as the year progresses, and we'd expect them to be greater as we get to the fourth quarter than the first quarter. So, you're right in that the first quarter generally has stronger seasonality but the benefits of our strategic growth initiatives and the tech transformation support higher EBITDA as the year progresses. .
Jed Kelly: Thank you.
Operator: Our next question coming from the line Dan Wasiolek with Morningstar. Your line is open.
Dan Wasiolek: Hey, thanks for taking my question. So just looking at the 2025 targets, just want to make sure on the cost efficiencies, $250 million, that's not a change from prior guidance. I believe tech transformation, $150 million and then the cost savings annualized $200 million that's $350 million. So, just kind of wondering if there's been any change with that? And then when you talk about GDS flat phenomenal, I wondering if you can provide any further quantification on what nominal might mean for overall GDS funds that you're incorporating in that $700 million?
Michael Randolfi: Yes, I mean I would start with the last question first. The flat to nominal is pretty darn close to flat, in terms of that baseline assumption. So, that's the way I would think about it. With regards to the cost efficiency bucket, you previously had indicated on our May earnings call last year, that we expected about $300 million in cost efficiency benefits. About $100 million of that was annualization of actions that we -- we're taking in 2023 that would annualize that you get a run rate benefit in 2024, greater than $150 million of that was from tech transformation. And the remainder was some other non-labor cost savings. What I would say is we're on track and more than on track to achieve all of that. However, what occurred in 2023 is we actually realized a lot of the benefits earlier than we expected. We were able to accelerate them. And that essentially was able to offset some of the lower volumes that ensued throughout the year. So, I would remind you that on May when we had our earnings call volumes in terms of industry recovery of air distribution bookings were around 61%. At that time, we had indicated that we expected going forward, 1 to 2 percentage points of sequential air distribution booking volume. That would have had us exiting the year around the mid-60s in terms of recovery relative to 2019. We exited the year at 58% and that difference essentially was offset by accelerated cost savings. So, we are more than achieving the full $300 million that we set out to achieve. But because we were able to complete those actions earlier, the lapping benefit is less on a year-over-year basis.
Dan Wasiolek: Okay. No, that's perfect. And then just maybe one more for me. On the revenue per air booking up nicely like you talked about. And it seems like you guys have pointed out some, I guess, potential to be optimistic that kind of that mix benefit that you saw in 2023 might take place in 2024. Is that fair to kind of assume that maybe that revenue per -- that pricing might be enduring maybe in 2024?
Michael Randolfi: Thanks for the question. So, on the average booking fee, I would say, particularly around Q4, I would view Q4 as a high watermark. One, we had a very, very rich -- better than typical mix of bookings traffic in terms of both the mix of carrier and region. We also saw when we saw a pullback in December, in addition to corporate travel, we saw a very big pullback in group bookings. And those group bookings tend to come at a much lower average booking fee. So, when you have the absence of them, it causes a skew up in booking fees. Now, what I would say is as we've come into the year in January and February, we have seen a significant step-up in our air distribution bookings as we've seen strength in corporate bookings, and we've seen a resumption in air distribution bookings from group bookings. And so because group bookings are a lot stronger as we've entered the year, we would see -- we would expect to see that the average booking fee to moderate somewhat from the 609 that we saw in the fourth quarter.
Dan Wasiolek: Okay, perfect. Thanks guys.
Operator: Thank you. And our next question coming from the line of Alex Irving with Bernstein. Your line is open.
Alex Irving: Hi, good morning. Two for me, please, if I may. First of all, just thinking about your GDS unit booking fee. That was up 9% year-on-year in the third quarter and 11% in the fourth quarter. What's driving that acceleration, please help us to disaggregate into its constituent parts? My second question, more on the cost side of things. Do you have any leeway on travel agent incentives as a lever to reduce costs and improve your EBITDA? Is that something you could cut? Or is it something that you would cut? Thanks.
Kurt Ekert: Alex, thank you -- on the first piece, which is the average booking fee. Remember that's looking at all components of revenue as compared to the units of air booking. And so you have a few things going on. One is the mix of the type of air booking we're getting globally. The other is that as we grow our land, ground, and sea bookings, which grew at a very strong rate through the year. And secondly, with payments, you'll see that accrue in to the average revenue per booking. With respect to the incentive structure, we compete in a vigorous industry economics, which are one of the mechanisms by which we compete, which is a very normal construct for a B2B industry. And we value the business that we get from our buyer or agency customers. So, I'm not going to comment prospectively on the way we view that, other than say, it's a competitive dynamic along with content and technology and product and service.
Alex Irving: Thanks.
Operator: Thank you. And our next question is coming from the line of Victor Cheng with Bank of America. Your line is open.
Victor Cheng: Hi. Thanks for taking my question. Maybe first of all, I want to break down a bit more on the corporate travel. I believe we can broadly bucket down to manage corporate travel versus unmanaged corporate travel. And I think managed corporate travel, which is where GDS over-index is -- has been recovering a bit slower. Do you think this is structural or this will reverse over time with more managed corporate travel coming back? And then secondly, can you provide any comments on the high contribution? Is it -- has it started to implement, I think you said in start of 2024, so should we expect some revenue contribution this year? And then finally, you talked about this earlier on the call as well. But on the 2025 outlook about the GDS growth that you're making, can you talk a bit about some of the tailwinds and headwinds because when I think about -- in the last couple of years where it's more domestic and more leisure, that's why GDS growth has been slower versus the air travel. But in the next year or two, should we not expect international and especially corporate to recover more. And so GDS to be recovering in line or at least not flat growth versus the broader air recovery? Thank you.
Kurt Ekert: Victor, thank you for the three questions. This is Kurt. Let me take them in order. First of all, on corporate travel, you're right. What we look at when we talk about corporate travel is largely managed corporate travel, which is what largely transacts through TMCs. And if you look structurally, that's a business that on a unit basis, is about three quarters of the size it was globally versus pre-COVID. If you read all of the analyst reports and you listen to market conjecture, signs are that corporate travel will grow prospectively very well. I believe on a 20-year CAGR, you're proceeding COVID, corporate travel or managed corporate travel had grown basically at 4% to 5% per year to a $1.3 trillion industry. So, again, you'd say structurally today, it's a smaller industry. And the question going forward, will it grow at that historical rate or may grow faster because there's still some recovery left in there. There's a wide range of potential scenarios, and I think that's uncertain, but we're confident that, that growth is going to come. And again, we think we're very well-positioned because we are proportionately more highly indexed against TMC and corporate travel than our competitive peers. With Hyatt specifically, as we indicated, we'll be beginning the implementation of Hyatt in the first half of this calendar year. And we'll see that ramp up, we think, starting in Q2 pretty well going forward. The last question is about headwinds and tailwinds on our 2025 outlook with respect to GDS market growth. As I indicated in my prepared remarks and the question earlier, with respect to both corporate travel recovery prospectively or growth. And two, international long-haul capacity coming back more robustly in the years ahead, we feel very optimistic and confident that we're going to see both of those trends continue. OTAs have obviously performed relatively well during COVID, and I mentioned some level of Direct Connect activity there. But if based on the conversations we're having with this clientele, we think there's recapture and growth opportunity there as well. So, I'd say that a lot of the headwinds that the GDS market has faced, we have faced here through the COVID recovery period. Our hope and our optimism is that we're going to see more tailwinds prospectively than what we've realized in recent years.
Victor Cheng: Okay. Thank you.
Operator: And I see no further questions in the queue at this time. I will now turn the call back over to Mr. Ekert for any closing remarks. .
Kurt Ekert: Thank you everyone again for joining us this morning. We do appreciate your interest in Sabre and look forward to speaking with all of you again very soon.
Operator: Ladies and gentlemen, that does conclude conference for today. Thank you for your participation. You may now disconnect.